Jan H. Pahl: [Audio Gap] Q2 results of Hypoport SE. My name is Jan Pahl. I'm Head of Investor Relations here. And I'm here with our CEO, Ronald Slabke, which I will right now join to this session. As Ronald will join, we will start the record. Just to let you know, this record will -- this webcast will be recorded, and I will start the record in a few seconds. Today, we have a Q&A session against our results. I think you have seen all the results during this morning. We published a strong increase in revenue and earnings. So at least we are very happy to welcome you and to receive your questions. I will start the record. [Operator Instructions] And I'll now start the record, hand over to Ronald with some welcome words, and we will wait for the first question in this FAQ session.
Ronald Slabke: Yes, [indiscernible] my side as well. Just a short introduction as you can read from the Q&A already. So we delivered a good start in the year. Half year numbers are in line with expectation and our goals for this year. And nothing surprising happened in Q2. So -- but still maybe something to explain more in details here for you. So happy to receive your questions now.
Jan H. Pahl: Thank you. [Operator Instructions]
Ronald Slabke: I just saw the information that someone is typing so.
Jan H. Pahl: It's good.
Jan H. Pahl: So we got the first question. Some participants were surprised that not seen any confirmation on our annual guidance and our financial statements. So what's the current situation on the guidance? What we can say for the guidance Ronald?
Ronald Slabke: Yes, this is pretty easy. So we stick to our guidance. We are with the half year reported numbers fully in line with our expectation and the guidance and stay with it for the upcoming 6 months. So easy question. Thank you.
Jan H. Pahl: So thanks for the first question for the icebreaker. So we are happy to receive more on questions on the segments, on the group level, on products as well, of course. I see that someone is typing as well. So obviously, this is really preferred way to raise the questions. Feel free to type in. Just -- normally just need a topic, some words, and I will hand over this to Ronald. So the next question is, can you comment on the market volume versus Hypoport volume on the real estate and mortgage platforms? Do you feel you gain or lose market share? Industry seems to be a little higher than on FINMAS and Europace.
Ronald Slabke: Yes. Thank you for this question. This is a very good question to ask and something that, let's say, we are as well aware of. So Bundesbank and Schufa reports a certain market development, which is currently more or less in line with the transaction volume growth of Hypoport in total for the first half year. And this is not how it feels like when we look on our sales structures in the market and the structural gains of market share that we see. There are certain numbers of issues in the reported numbers on both sides, so European transaction volume and as well what Bundesbank is reporting that leads to the conclusion that we are not exactly talking about the same market. In the core, it is the same, but there are, let's call it, niche markets in Bundesbank, which are different from this what we address, which looks like have a different kind of dynamic, and we are in talk with Bundesbank about this to understand better the dynamics there. In our core market, we see that in the broker segment, we outperform our core competitor, InterHyp and the largest broker. We see that we -- this gained market share. In the segments, savings banks and corporate banks, we are -- we don't see any loss in sales structure. We see that we gained sales structures in both segments. And with this, expect to outperform both of this structural changes in both of the sectors. While in private banks, we had to report a decline of our market share because one of our strong partners for a long time and someone who delivered growth for a long time decided 2 years ago to change the approach to the market and recently even keep losing market share heavily. So the volume drop there is intense. It's actually reported as well by Deutsche Bank that they reduced their outstanding loan portfolio here in Germany massively. And this is something which we have to compensate with market share gains in other areas of the market. And all 3 other areas, we see a surplus in the structure and expect this to live up in the numbers in the upcoming quarters again. I hope this explains a little bit. Let's say, we are well curious how the reality in the market, which we face every day and the comparison of the numbers will, let's say, realign again.
Jan H. Pahl: Perfect. Thank you. I hope this satisfies this question. If not, feel free to circle back on us. We have another question with another topic, and it is, what is our view on the impact on the stimulus package from the German government on Hypoport and on the mortgage volume in general?
Ronald Slabke: Yes. To be honest, we expected some serious decision before the summer break from the new government, which did not occur. So without any decisions made, just announcement, what may come in the second half of this year or later, it's a little bit fuzzy to answer this question with a high level of certainty, to be honest. So from our perspective, we expect the actions taken to increase the new construction volume in the private mortgage environment and so our core segment to be not sufficient. So we don't expect a massive change in new construction volume in the upcoming quarters. We see a slightly positive trend, not triggered by any state actions, just by the need in the market. We expect this trend to continue. But from the stimulus package, we don't expect right now a significant change in housing construction. Coming to the other markets, which we combine in financial platforms, we see that the housing industry may over a period of the next 2 years, profit from the additional subsidies for social housing as they get effective, as you need to say, and we expect this to happen. German Mittelstand, the corporate side with REM CAPITAL, we expect to massively profit from this, let's say, promised activity in this area. For now, it's still something that needs to be delivered. And we, together with our clients, wait for this. We prepare projects for this. So we wait these subsidies to get applicable and are later then as well confirmed by the different agencies here. And last market, personal loan business, where we see that the current recessive environment in Germany is something negative to this market, which stresses the credit portfolios and increases the default rates there. This may change when the stimulus package via all its different angles attracts more investments, especially by the industry, by German Mittelstand and gives -- improves the consumer confidence. So this would be in a delayed stage of a couple of months reacting to this. So overall, I would say, we don't expect a direct impact of any stimulus to our business, but a massive indirect impact to our Corporate Finance business and Social Housing business in the upcoming quarters.
Jan H. Pahl: Thank you. The next question is in direction of Value AG, our valuation business on the real estate and mortgage section. So the question is, you mentioned in Q1 that Value AG would not be breakeven in 2025. However, properties value keep growing double- digit rate. What is your latest assessment on the turnover -- turnaround in Value AG? And what are the main issues still to be resolved?
Ronald Slabke: Yes. Let's say, first of all, and this is part of this question, is Value AG is having a good year. So we are progressing on the top line, and we are as well progressing in the efficiency of the operations and in the realizing of the digitalization efforts of the last years, you can say, in the different sectors. So we see a clear positive trend with all what we invested on in the last years and see that Value AG is recovering. So still, there is a way to go. And you saw the Q2 numbers. So there are still a couple of hundred thousand euros to be earned additionally for each month, and we are not certain to see this in this year for now. We may be surprised. So Q2 was in a positive way, fulfilled our expectations. And we may be surprised, but still we are not certain that it's going to happen this year. So it still may take us a couple of months next year to finally break even with the whole business. Newest product and as well pretty well received is automated valuation for the cooperative banking sector integrated in Europace and with inspections and the property valuation done by Value AG integrated. This shows as well some good signs of early traction. And with this, our expectation for 2026 is currently improving.
Jan H. Pahl: Perfect. In the moment, I don't see any additional questions. [Operator Instructions] There's another one. So from our competitor on the insurance vertical, you see quite pleased with the strategic progress of this business. However, the revenue and profitability went backwards modestly because of relatively weak business from pooling and distribution organization compared to the platforms. Could you please explain this more? I think this is related to E&P, right?
Ronald Slabke: Yes. Let's say, in general, you can say in all 3 product areas of insurance, we see an operational progress. We see solid demand and we see serious activities in all 3 segments with clients. The challenge stays that this needs to be as well monetized. It takes -- unfortunately, it takes a long time in the insurance business to monetize. Plus we saw in the second quarter a slowdown in the employee-linked insurance schemes. So there's -- German Mittelstand is right now not very keen on additional employee benefits and this reduced the transaction volume given their postponed decisions, you can say. And this part of the revenue we missed and this part of the profit we missed for the second quarter. For the full year, we expect to stay comfortable to continue the positive path we are on now with this segment for the last 2 years and to continue to build the ground for double-digit growth long term. For now, second quarter was disappointing and the numbers are not exactly where they should be, but our hope stays here for the second half.
Jan H. Pahl: Thank you. In the moment, there are no other questions, but we wait a few seconds. Maybe that will -- someone show up with another questions on the segments on the business...
Ronald Slabke: [indiscernible] we covered already pretty relevant areas. This -- so for now...
Jan H. Pahl: No, there's another one. Just takes some time. As you mentioned, the company had a good Q2 and is in line with our guidance. What are the main risks and upside for us to see or to meet exactly the full year guidance?
Ronald Slabke: Let's say, the main risk is geopolitics for us right now. So you -- we see a slowdown in inflation in Europe, which is -- which should lead to a declining interest rates. With this, I would see a very positive trend to continue. But the risk is high that something special happens, especially the -- let's say, the duty policy of America is creating a lot of uncertainty as well related to prices and what Russia is doing in Ukraine is as well constantly a risk for geopolitical crisis, which would affect then our business if interest rates would sharply increase. So this, I would say, it's the core risk factor for our core business model and as well for the business model in the financing platforms area. So the chances are, let's say, I said the -- when answering the questions and as well, you see this in our reporting that in all 3 business segments, we are creating a ground for additional growth in the upcoming quarters. So when everything stays normal, we will meet our guidance. We will meet our expectation. And so we don't need any support from the market. But market can live up -- let's say, all markets we are operating in can live up, especially in the financing platform area, housing and as well Mittelstand would profit from a high activity level of our current government. For now, they are waiting on action, and this action are announced for a too long time now already. So if starting in September, actions occur, we may see there a positive impact. And together with potential positive surprises as well in other segments, when I look on our pipelines, there is as well a good chance to outperform our expectation. But then we need some headwind from the environment.
Jan H. Pahl: Okay. Thanks for clarifying this. There's another question. This is regarding Deutsche Bank. So who has gained the market share from them, so on the mortgage side? Are they -- do we expect to gain this back? Or did they left the business?
Ronald Slabke: Yes. Let's say, they reduced their mortgage portfolio in the first half of this year by EUR 12 billion. So you see their lack of new business to just balance their balance sheet. Is this sustainable for a balance sheet? For a couple of quarters, yes. For a couple of years, no, because then the balance sheet of this bank would lack lending. And other areas of lending are not very active in Germany as well or Deutsche Bank is not very active or very successful there. So we don't expect this to be a sustainable path for this bank. And I don't hope -- I hope so that their ambitions as well for the mortgage business comes back. Regulator changed already the equity needed to do this business. This is relevant for Deutsche Bank and their proposition. So let's see how we are going forward there. Who won this market share? Temporary, I would say, it was widespread. Most profit it was actually IG, which are running a great mortgage business and a great mortgage portfolio and shows that you can earn a lot of money with retail banking in Germany if it's done right. So IG is not our biggest friend in the market. Is it possible to win this back? By sure. And let's say, midterm, the IG balance has as well a limit how big it can get. And so this limits as well the ambitions of the [indiscernible] Group here in Germany. And besides this, we support all regional banks, all savings bank and cooperative banks to take market share and use the weakness of the private banks here to get back to a time where they dominated the market. Based on our technology, this is possible. And their equity needs or their return rates on their equity are much lower than this of the private banking sector. So they have a competitive advantage here. And together with our technology, they can use it.
Jan H. Pahl: Perfect. Thank you very much on this. Actually, this is the next quote here. It was my wording, but the next one is thank you very much for answering my question, which is also nice. Thanks for this. But we are waiting. Maybe for another question. We covered a lot, but if there are any additional questions, just type it in. If not, and we covered a lot, we -- I think this was it actually. So I hand over to you, Ronald for some last words.
Ronald Slabke: No, thank you for the opportunity to especially talk one more time about the sensitive topics surrounding your pace and the market and Hypoport. So back to business, we are focused on delivering what is expected from us and make sure that we set the ground for a new record year in 2026 for the whole group. And this is what we are aiming for, for now. So for this year, gross profit will be new record high and next year, profitability in total, new record high numbers. And this is based on a market which is roughly 20%, 25% below what we saw in the last record year. So the potential coming after this keeps being there and needs to be exploited by us. So we have a lot to do. See you in 3 months here.
Jan H. Pahl: Thank you. Goodbye.
Ronald Slabke: Bye-bye.